Operator: Good day, ladies and gentlemen and welcome to the Entergy Corporation Third Quarter 2015 Earnings Release and Teleconference. At this time, all participants on the phone lines have been placed on mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] Do note today’s program is being recorded. I would like to now introduce our host for today’s program, Mr. Paula Waters, Vice President of Investor Relations. Please begin.
Paula Waters: Good morning. Thank you for joining us. We will begin today with comments from Entergy’s Chairman and CEO, Leo Denault and then Drew Marsh, our CFO will review results. In an effort to accommodate everyone who has questions, we request that each person ask no more than two questions. In today’s call, management will make certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed or implied in the forward-looking statements. Additional information concerning these risks and uncertainties is included in the company’s SEC filings. Now, I will turn the call over to Leo.
Leo Denault: Thanks, Paula and good morning everyone. Before we get started, there have been some questions about the forward-looking numbers we plan to disclose for utility, parent and other earnings at the upcoming Edison Electric Institute Financial Conference. Just to give you a quick preview they will be in line with our previous disclosures. Regarding third-quarter results, with the exception of impairments at EWC, results were largely in line with our expectations. However some of the drivers turned out differently than we originally anticipated, including stronger than normal weather that boosted earnings by $0.16 per share, which was offset by lower weather adjusted residential sales and regulatory compliance costs at the Arkansas nuclear 1 plant. As we've noted previously, we currently anticipate approximately $85 million of costs at ANO for additional Nuclear Regulatory Commission inspection activities arising out of its placement in Column 4 of the reactor oversight process action metrics. These costs will impact operational results in both 2015 and 2016. The Pilgrim nuclear power station will also undergo an additional inspection activities related to its placement in Column 4 by the NRC which will increase its cost in the coming years. We realize these items, while temporary, are disappointing, we will do our best to mitigate their impact. However our longer-term objectives remain intact. Therefore as we work our way through the near-term operational issues at ANO and Pilgrim, we maintain our focus on our long-term opportunities. To that end, by most any measure the last few months, in October in particular, have been very productive. The actions we've taken demonstrate execution on the strategy we've outlined to you for some time. For the utility, the strategy is to grow the business by investing capital in ways that benefit our customers. This strategy is centered on our obligation as well as our opportunity to invest capital, to replace aging infrastructure, strengthen reliability, meet economic development and other growth needs and ensure that the environmental profile of our generation fleet is in line with the evolving regulatory framework. To facilitate execution of this investment opportunity, to enhance service to existing customers, as well as adding new customers, we seek to align our objectives with our regulators’ expectations so that we have the regulatory support and financial flexibility to make those investments. During the last quarter, at the utility we have received approval for the business combination of Entergy Louisiana and Entergy Gulf States Louisiana Entergy which was completed on October 1. Closed on the transfer of the Algiers portion of Entergy Louisiana to Entergy New Orleans received approval of the renewable purchase power agreement in Arkansas which applied provisions for legislation passed earlier this year, advanced our generation plan through filing an application for approval to build another new combined cycle gas turbine plant in Louisiana and administering the competitive request for proposal processes for long-term capacity in Louisiana and Texas, which include market testing two self-build CCGTs, completed nine transmission projects totaling $92 million in investment while being on track to complete the transmission work required to support a major customer in December, ahead of that customer’s planned date to begin taking transmission service, and received regulatory approvals in Texas, Louisiana and from Utility Committee of the City Council of New Orleans for a settlement to end the system agreement next year. For EWC, the strategy rests on safe operations of our nuclear plants and managing risks so we get the most out of that business. Execution on this strategy requires disciplined and responsible decision-making in a volatile environment. We have also taken action consistent with our strategy. We announced the sale of the Rhode Island State Energy Center CCGT for $490 million. We announced the decision to close Pilgrim by June 1, 2019 and today we're announcing plans to shut down the FitzPatrick nuclear power plant at the end of the current operating cycle in late 2016 or early 2017. New York State officials worked as hard as we did over the past two months to reach a constructive and mutually beneficial agreement to avoid a shutdown of FitzPatrick but our efforts were ultimately unsuccessful. From a corporate level, we've added another new board member, one of three this year with expertise that helps position us for the future and importantly raised the dividend for the first time since 2010. While dividend decisions will be made annually, it is our intention to provide steady and consistent growth in our dividend in the coming years. Continuing to deliver on our strategy will be the key to meeting this objective. Earlier this year we outlined what we needed to do to execute on our strategy. Our achievements to date are listed on Slide 3. These significant accomplishments could not have been possible without the dedication and commitment of the entire 13,000 member Entergy team, as well as the dedication and commitment of those we partner with to grow the communities we serve. However focus is squarely on what's next to continue the momentum we've worked so hard to gain. One such item we're working on at the utility is completing the planned acquisition of the nearly 2000 MW Union Power Station. Entergy Louisiana, successor in interest to Entergy Gulf States Louisiana, Entergy Arkansas and Entergy New Orleans have agreed to purchase this modern efficient CCGT at approximately half the cost of building a comparable new plant. Just last week Louisiana Public Service Commission approved the settlement in support of the transaction. No parties were opposed. We also continue to explore settlement options with the advisors in New Orleans and in Arkansas a decision by the Arkansas Public Service Commission is pending which we asked for by December 1. And industrial group is the only opposing party. We remain on track to close the transaction by year-end subject to pending regulatory approvals and other customary closing conditions. We've also been working with the APSC and other public officials to give Entergy Arkansas the financial flexibility it needs to make investments and help attract new business to the state. After passage of legislation providing for a platform for progressive rate regulation, we're now focused on the pending rate case. In addition to the Union acquisition, a significant component of the rate case is the approximately $800 million of added investments since the last case. In late September, staff [ph] filed testimony recommending a $217.9 million rate increase and 9.65% return on equity, an increase over the current 9.5% authorized ROE. As a reminder, Entergy Arkansas is seeking a $268 million base rate increase and a 10.2% ROE, factoring in rider offsets and that increase requested is $167 million. While we continue to work through the process, we view the staff’s testimonials constructive and look forward to working with all of our stakeholders toward a result that aligns us all for growing the economy in the state. The settlement deadline is December 31 of this year. In September, Entergy Texas field with the Public Utility Commission of Texas for rider recovery of nearly $140 million of incremental transmission and distribution rate base since the 2014 rate case. These rider filings seek nearly $20 million in new revenue requirements. Decisions are expected by early next year. Another area where we have worked diligently to align with our regulators is on the subject of the Entergy system agreement. The system agreement has been a long-standing source of frustration and disagreements among our regulators. Entergy Arkansas exited in late 2013 and Entergy Mississippi is preparing to exit within a week’s time. We are now well on our way to ending this arrangement altogether by September 1 of next year. After gaining approval by the LPSC, the PUCT and the Utility Committee of the City Council of New Orleans, the settlement is expected to be taken up by the City Council this week, leaving the Federal Energy Regulatory Commission as the final outstanding approval. Ending the system agreement next year is not expected to have a significant financial impact to ongoing consolidated earnings. The benefits are two-fold: it simplifies our business and allows us to focus on jurisdictional specific matters, especially the utility’s role in economic growth in our regions. And it allows interactions with our regulators in all jurisdictions to be squarely focused on investing to improve operations and grow our business to benefit customers. At EWC, our top priority [indiscernible] is also an important objective for the future. In October, we began the process to obtain the necessary approvals to support a close of the RISEC CCGT sale by year-end. We've also begun the process toward an orderly shutdown of Pilgrim and will soon begin the process for FitzPatrick. These decisions are difficult knowing the effect of plants’ closure will have on our employees and the surrounding communities. We are committed to ensuring we’re fair to all of our employees as they go through this difficult time. The sale of the RISEC power plant and the closing of Pilgrim and FitzPatrick are the right business decisions. Each meet our criteria for assessing strategic options around the EWC fleet. They are positive NPV decisions over the long term and improve cash flow in the near term and help to derisk the company. That said, I can tell you they are some of the most difficult decisions we as a management team as well as our Board of Directors have ever made. So while the decisions themselves are clearly appropriate, we all had hoped there could have been a different outcome. With the closure of FitzPatrick and Pilgrim, we’ll have two remaining nuclear generating facilities in operation within EWC, Palisades and Newpoint [ph]. Palisades is a power purchase agreement for virtually all of its output until April 2022. For Newpoint [ph] we will continue to work through the license renewal process. We will also continue to advocate for reforms through wholesale market designs. Wholesale electricity markets are failing to produce accurate price signals to reflect true marginal cost of providing energy and capacity, challenging the long-term sustainability of these markets. The FERC issued an order on energy market price formation in September following a series of technical workshops to discuss issues regarding price formation in energy and ancillary service markets. FERC indicated this is a first step in the energy price formation initiative. We will continue to participate actively for fair market designs that compensate all generators for the attributes they provide to the market. Through this time of opportunity and change, we need strong governance by some leadership at the highest levels of the company. This year we welcomed three new board members: Patrick Condon, Karen Puckett and most recently Philip Fredrickson. Pat, Karen and Phil bring valuable experience to our board with expertise in utility, regulatory and financial matters, commodity markets, business strategy and leading businesses undergoing transformational change. And last week we promoted new members of the executive leadership team, Paul Hinnenkamp, senior vice president and chief operating officer, and Tim Mitchell, acting chief nuclear officer. Paul’s experience in nuclear and fossil generation and, most recently, leading our capital projects management organization will be instrumental in supporting utility’s growth strategy with safe and reliable operations and disciplined fiscal and project planning for our capital spending plans. Tim has the deep technical knowledge and strong leadership capabilities to lead the nuclear organization through the challenges in our nuclear fleet and drive towards excellence in operating all of our facilities safely, securely and reliably. At the same time, we thank Mark Savoff, executive vice president and chief operating officer and Jeff Forbes, chief nuclear officer for their leadership and accomplishments. They both recently announced their upcoming retirements. We are grateful for their contributions and continued consultation and advice through this transition period. We are looking forward to seeing you next week at the Annual EEI Financial Conference. Our accomplishments and the plans for the future are foundational to consistent utility, parent and other earnings growth and steady dividend growth. We’ve started down the path of providing clarity around the future of EWC. Whether it's day-to-day operations of the business, we’re making strategic decisions, our sense of purpose and resolve remains on finding solutions that provide long-term benefits for our owners, customers, employees and the communities we serve. Now I will turn the call over to Drew Marsh.
Drew Marsh: Thank you, Leo and good morning everyone. I’ll begin my remarks today with a review of our third-quarter results which are summarized on Slide 4 of the presentation. Our operational results of $1.90 per share, excluding special items related to the impairment of EWC, Pilgrim and FitzPatrick nuclear plant and the decision to close Vermont Yankee, were up from third quarter of 2014. As Leo noted, this was in line with our original expectations overall but not in line with the expected drivers. Strong weather made up for ongoing ANO Column 4 expenses and lower-than-expected residential sales growth. As reported, earnings were negative $4.04 for the quarter driven by the impairments of Pilgrim and FitzPatrick. Details of the impairments and the related accounting were provided in the Form 8-K filed on October 16. Moving to Slide 5, utility, parent and other results were up quarter-over-quarter. Contributor [ph] to the increase was net revenue which added $0.36 per share, a large portion of this was from weather but the remainder from higher industrial usage, recovery of the productive investments such as Ninemile 6 and items offset in operations and maintenance categories. Though net revenue was higher, we originally expected an additional $0.05 per share in net revenue from sales growth but missed this target with lower weather adjusted residential sales volume, down one-tenth of 1% quarter over quarter. Also contributing to the favorable variance is an asset write-off of $0.23 per share related to the settlement of the Mississippi rate base that was included in 2014 third quarter results. The impact of these favorable variances is partly reduced by higher utility non-fuel O&M expenses of $0.16 per share. Roughly $0.04 of this variance is offset in net revenue. Of the remaining variance, $0.07 was due to NRC inspection cost for ANO and the balance primarily due to higher distribution reliability expenses. Sales volume from industrial customers increased quarter over quarter by 4% as shown on Slide 6. Adding nearly 300 gigawatt-hours to our sales this quarter were new and expansion industrial projects mostly from ramp up in the core alkaline and petrochemical sectors. Volume from our existing customers recovered from the second-quarter decline and came in above third quarter 2014 levels as petroleum refineries ran at high utilization levels. And for next quarter one of our largest customers is already in an extended outage. So we currently expect industrial sales to less robust in the fourth quarter. Recall that lower sale due to short-term outages of existing customers can be less impactful due to demand charges. EWC third quarter operational results on Slide 7 were $0.18 in 2015, $0.05 lower than in the third quarter of 2014. Though the closure of the Vermont Yankee added $0.09 to operational result this quarter, this was more than offset by a decrease of $5.80 per megawatt hour, the average price earned by the nuclear plants still in operation. Operating cash flow on Slide 8 shows overall lower cash flow this quarter as compared to the third quarter of 2014. Cash flow at utility was lower primarily due to $300 million of Hurricane Isaac securitization proceeds received last year. Declines in EWC net revenue also contributed to lower cash flow. As we move past our third-quarter results, we will take one more look at our overall 2015 expectations relative to guidance. Beginning on the right side of Slide 9, utility , parent and other adjusted EPS is expected to be lower than anticipated driven primarily by $0.17 of O&N expenses from ANO Column 4 management, $0.06 of incremental reliability spending and $0.07 of lower-than-expected total weather adjusted sales primarily residential. This brought us below our adjusted EPS expectations which is disappointing. As on Slide 5, adjusted utility, parent, and other EPS removes the effects of special items, weather and tax items. However with both favorable weather and income tax variances as well as the operational income effect of impairments for Pilgrim and FitzPatrick. On the left side of the slide, we expect to exceed the original 2015 guidance range and are adjusting the range by $5.50 to $6.10. Currently we are tracking to around $6. We mentioned before that we have been working on tax items which could be recognized toward the end of this year. One of those is connected with the recently completed business, combination of ELL and EGSL. After guaranteed sharing of $107 million with our customers we’ll recognize $1.50 per share in the fourth quarter. Although there could still be other tax items resolved and recognize in the fourth quarter, we expect our 2015 tax position to our REIT to exceed our original guidance expectations. In other tax matters, our third quarter Form 10-Q will discuss the recent settlement with the IRS from the OA09 audit. The agreement on treatment for our 2009 position regarding nuclear decommissioning liabilities will reduce our federal net operating loss carry forward or NOL from $12.3 billion to approximately 1.9 billion. Having said that there are a couple points I’d like to make about the settlement. First, the settlement has no material cash consequences or impact on net income due to low utilization of the NOL. And in second, while it reduces our net NOL today we continue to pursue our tax strategies. We expect our cash tax rate to remain below statutory rates about 10% in the next few years. Turning now to EWC. As Leo discussed in his remarks we’ve reached an agreement to sell Rhode Island State Energy Center for $490 million and I expect to close the deal by the end of the year. We’ve also made the difficult decisions to close Pilgrim and FitzPatrick. Each of this decision provides greater clarity on the future of EWC. Rating agencies have reacted positively to the focus in improvements of utility and the difficult decisions we’ve made for EWC. Following the Rhode Island and Pilgrim announcements, S&P noted the reduction of exposure to merchant generation in support of our credit quality. And Moody’s view the developments along with the utilities support of regulatory environment and improving rate design as credit positive. A summary of our credit metrics and credit range can be found on Slide 10. At utility we were pleased with the successful completion of the Louisiana business combination on October 1 and our confidence of the newly combined Entergy Louisiana entity will bring benefits to our stakeholders. Moody’s assigned the combined ELL a rating of A2 for senior secured first mortgage bonds. At the same time Moody’s affirmed credit rating for Entergy Corporation and raised the outlook to positive and ratings for Entergy New Orleans were also positive upgraded. These positive credit rating actions acknowledge the strong financial footing of the company and in doing so help preserve our ability to access the capital needed to finance investment in the business at low-cost for the benefit of our customers. As noted on Slide 11 we will have more information at the EEI financial conference next week where we will continue the discussion of our business strategy longer-term outlooks and 2016 drivers. This will include more detailed information for EWC, utility sales and the opportunities and risks for our 2016 expectations. And As Leo said at the outset, we still see our utility, parent and other EPS for 2016 and 2017 consistent with our previous disclosures. We will provide detailed guidance for 2016 during our fourth quarter earnings call. As we continue to lay the groundwork for growth, we look forward to moving ahead with our strategies to create value for our customers, our owners and our employees and the communities we serve. And now the Entergy team is available to answer questions. 
Operator: [Operator Instructions] Our first question comes from the line of Praful Mehta with Citigroup.
Praful Mehta : So I had a quick question on the cash taxes, given the change in the NOL position down to 1.9 billion, I know you clarified that you will still have a pretty low cash tax rate. Could we understand what’s the driver or what helps you get to that low cash tax rate given the NOL position change?
Drew Marsh: Sure, Praful, this is Drew. As we talked in the past, and we have a portfolio of strategies out there that we are pursuing and those strategies are still intact. Over time we can see the NOL start to move back up again but we have to go -- right now we just settled, so the NOL is back down to where it is at 1.9 billion. So we just want to make sure that when you saw it come down you’d know what the driver was and what the settlement was. The important thing is that our tax team is still here, they are still working hard on new ideas and new strategies and we expect that those will continue to bear some fruit going forward. 
Praful Mehta : And then in terms of the FitzPatrick retirement, from a decommissioning perspective, do you expect there will be any impact from a cash flow perspective to Entergy or is the decommissioning fund – fully funded and how do you see that playing out?
Drew Marsh: Well this is Drew again. So the decommissioning fund meets all the NRC requirements and consistent with how Vermont Yankee did, we would expect the same kind of approach for FitzPatrick going forward, so we wouldn't see or anticipate any cash contributions to the decommissioning trust fund associated with decommissioning the plant. 
Operator: Our next question comes from the line of Paul Patterson with Glenrock Associates.
Paul Patterson : Yes, hi, how are you. Just in terms of the tax rate, the 10%, that is the cash tax rate. Is that correct?
Drew Marsh: Yes sir.
Paul Patterson : And what’s the expected book tax rate that we will see in earnings? 
Leo Denault: Well the book tax rate as you know we don't usually give out a forecast for book tax rate until the prompt year. There are definitely some things that could improve over the statutory rate that we’ve used in our forward-looking expectations but at that this point we’re not prepared to say exactly what those are. There’s too many things going on in conversations with federal tax authorities, state tax authorities, state regulators to be able to successfully pin that down until we get closer to that time. 
Paul Patterson : And then with respect to Slide 36 and it looks like you guys are going to be expensing the fuel and other things associated with FitzPatrick and Pilgrim as special items. I'm wondering how will you guys be treating the revenue? 
Drew Marsh: Well the revenue will be operation – what we are going to be choosing to – not choosing, what we will be treating as special items or things that would otherwise have been capitalized, so any significant capital expenditures or in the case of Pilgrim refueling outage costs or fuel costs that would have normally otherwise been capitalized and amortized over coming cycles, those will be considered special items and we’re just – I think for just the sake of making a clear which pieces are part of the ongoing operations and which pieces aren’t, that’s the same approach that we used with Vermont Yankee and we think it’s more helpful that way. We will try to be as transparent as possible about all the moving parts in there. 
Paul Patterson : Okay, then just in general with the economies of scale, you have shut down three nukes in a pretty short period of time in the Northeast. Is there an impact on the economies of scale of what is left, meaning in the allocation of expenses or any thoughts on that? 
Leo Denault: Yes, there definitely is the lot of economies of scale, I mean we manage our nuclear fleet as a fleet across the North and Southern utility nuclear assets. So there is -- we have a lot of economies of scale but it will be shrinking over the retirement schedule in the next few years, depending on how far you go with the retirement schedule depends on how much of an impact that economies of scale has, for the Northeast we do have about $35 million of plant overhead at each plant and about half of that is direct costs. And so beyond that we will be targeting a level of costs that are prudent for the business size and the size of the fleet going forward to make sure the plant stays safe and reliable.
Operator: Our next question comes from the line of Jonathan Arnold with Deutsche Bank.
Jonathan Arnold : Good morning, guys. Just to clarify, you have said very clearly that you expect the 2016 and 2017 utility parent and other outlooks to be unchanged or at least I think that is what I heard. But are you also saying that you are guiding prompt year -- beyond the prompt year, your guide to statutory tax rate, so is 2016 still good assuming a statutory tax rate or is that one of the things that might shift as you give us the drivers? 
Leo Denault: It’s assuming the statutory tax rate, we’re trying to hold quite frankly Jonathan the forward-looking stuff at EEI and we just removed it from this to do it at EEI next week. But it seemed to raise some questions, so the previous disclosure that was at the statutory tax rate that's what we were talking about.
Jonathan Arnold : And so you expect that to still be the case? 
Leo Denault: And we hope that – to the earlier question about the effective tax rate I guess, we would hope to do better than the statutory tax rate in ‘16 but we’re not prepared yet to identify that but taking that aside we still are at the current disclosure that we put forth previously.
Jonathan Arnold : If I may just on one other issue around guidance, the ANO costs that you referenced those as I think $85 million which is the same number between ‘15 and ‘16 that was in the 10-Q. Were those already in the guidance you showed us last quarter fully or is there an element of that being added in? 
Leo Denault: No, those are already fully baked into the guidance. They were not in the guidance that we set up at analyst day last year. Just to be clear, so analyst day last year was when we originally set up our range of where we thought the midpoint could land between 435 and 475 and it didn't include ANO at that point and expected higher interest rates for pension benefits etc. So there were several things that have moved around but ANO was specifically not included at that time but it is now.
Jonathan Arnold : And was it included when you showed us $3.65 last quarter – 
Leo Denault: $3.65 is for ’15, just to be clear. And it was not – we originally said $3.65, that was at the beginning of this year, that’s before we had clarity around what ANO was going to be, so it was not included in the $3.65. 
Jonathan Arnold : So that’s part of the change to this $3.30 number? 
Leo Denault: Yes, that’s exactly right. So the drivers between the 365 and 330, I think it’s in my script but it’s like $0.17 is related to ANO and I am sorry was that -- $0.06 O&M and some other stuff. 
Jonathan Arnold : So similarly on the ‘16 outlook, that was the $35 million of ANO that you disclosed in the 10-Q would not have been in that range but you are saying the range is still good so something else must have offset it? 
Leo Denault: That’s right, what we said, the lower end of the range is what we previously had said. 
Jonathan Arnold : But that was again without the ANO drag, am I right in that?
Leo Denault: That is with the ANO drag. 
Jonathan Arnold : The lower end comment included the ANO drag but it wasn't in the ‘15 $3.65? 
Leo Denault: That’s correct. I think I am confusing you worse than, than I really need to but our original guidance for ’16 was $4.35 to $4.75 where we said at the lower end, that includes ANO. For ’15, it was at $3.65 that did not include ANO but the $3.30 does now.
Operator: Our next question comes from the line of Julien Dumoulin-Smith with UBS.
Julien Dumoulin-Smith : So let me actually start where you guys just left off there. In terms of weather normalized impact, the 2015 update you just provided, I know you just alluded to the ANO negative hit but you have had $0.23 if I have the year to date positive weather. What is kind of the impact of the weather normalized sales year to date if you will? 
Leo Denault: I believe that the weather normalized sales year-to-date – I don’t know – I can’t think of the year to date number off the top of my head. For the full year I believe it’s $0.07 of which about $0.08 is residential. So not weather, just residential, weather adjusted. 
Julien Dumoulin-Smith : Turning to more strategic issues. Looking at the nuclear business today, how are you thinking about Indian Point? Is this something, Indian Point Palisades, is this something you would consider continuing to own just as two standalone units given the continued portfolio benefit of owning it in the context of the regulated business or is this something that you would imagine that you could arrive at a strategic juncture on? 
Leo Denault: This is Leo. I mean obviously we continue to evaluate what the best bring to do with those assets is but as we mentioned before and when they were talking about overheads a moment ago in that discussion we still have economies of scale and an operating capability with the nuclear assets and as Drew mentioned we do operate facilities as a fleet and we can continue to do that from an operational standpoint and so we’re prepared to do that, doesn’t mean we aren’t looking at alternatives but as you know the alternatives around Indian Point are limited and we just have to go from here but obviously we can do it and we will if we have to and it’s not a problem for us but the strategic options obviously become limited given the regulatory approvals required et cetera.
Julien Dumoulin-Smith : And just a clarification therein. The spring refueling outage on Pilgrim, that is a final decision now that you intend to pursue that rather than retire going into that? 
Leo Denault: We have not – in which year?
Julien Dumoulin-Smith : The spring 2017 refueling outage, have you committed to doing that or is there still the thought process you could buy back the capacity? 
Leo Denault: No, we have not committed to do that. 
Operator: Our next question comes from the line of Paul Ridzon with KeyBanc. 
Paul Ridzon : A quick question. On Jonathan Arnold's question, you referenced 3.30, is that really be 3.35 I see on slide nine? 
Drew Marsh: Oh yes, I apologize. Yes, it’s $3.35.
Paul Ridzon : And year to date, UPNO is at 3.55 so that imply we are going to have a loss in the fourth quarter? 
Drew Marsh: Is that including tax and weather, the $3.30 is tax weather and special items adjusted. 
Paul Ridzon : But your year to date results are $3.55 at UPNO? I'm just trying to bridge from here to there. 
Drew Marsh: That includes weather and taxes, I believe. 
Paul Ridzon : So $3.35 does not include weather?
Drew Marsh: That’s correct. 
Paul Ridzon : And then is $50 million this year and $35 million next year is still the right split for ANO? 
Drew Marsh: That’s correct
Operator: Our next question comes from the line of Stephen Byrd with Morgan Stanley.
Stephen Byrd : I wanted to just follow up on Fitzpatrick and check whether there are any limits on being able to put the plant into safe store or if there are other approaches being discussed that would be perhaps more rapid on actual decommissioning of the facility? Should we be assuming a long-term safe store option or is that still to be determined? 
Bill Abler: Stephen, this is Bill. I think you should generally assume a safe store option, we’re going to have to go through the process of getting a detailed decommissioning cost estimate we put together and then file our post shutdown activity report closer to the shutdown date but we are assuming the same type of approach we used at the Vermont Yankee.
Stephen Byrd : Just on Indian Point, there has been a series of extensions of the standstill agreement with the state of New York on sort of CZM related topics. Should we be thinking given that they are having those extensions that there is very much an active dialogue going on there, active discussions. It struck me as likely that there are active discussions given the continued short-term extensions of that standstill. Any color on the dialogue there? 
Bill Abler: Stephen we have been in some active discussions but that standstill agreement date expired, so we will go back to our position on that before we executed the standstill, again we feel very confident our legal position that we had an effective withdrawal of the CGM application and as always we’re open to constructive discussions with state. 
Operator: Our next question comes from the line of 
Steve Fleishman : Thanks. A couple of questions. First, Leo, could you maybe give us some sense of how you kind of came at the dividend decision that you did in terms of just target payout or something of that sort? 
Leo Denault: Sure Steve. With the growth in investment and rate base and resulting earnings growth at utility, parent and other as we have been mentioning for some time it’s our objective to provide the glide path into a consistent more predictable dividend path, as we mentioned in the past we've taken more of I guess a lumpy approach to it where we raised it 29% one year and then we take a few years off and we raised it $0.10 or something like that. So as we look out into the future consistent with our expectations around the growth in the utility parent and other segment of the business, we’re kind of on a glide path, so we would hope to provide a consistent growth that will work its way into that payout ratio over the next few years. 
Steve Fleishman : Which is the payout ratio target is at 65 to 75?
Leo Denault: Correct. At any given time we might be over or even under depending on how we’re growing business and then obviously it takes into consideration the reinvestment that we have and the opportunity for the utility for all the items that I outlined that we put in the disclosures. 
Steve Fleishman : Different question on the nuclear, just you guys historically used to have kind of top tier of nuclear operation so kind of having the ANO and Pilgrim kind of in this Tier 4 was definitely a change. And I think there have been some changes in management and I am just curious what are the implications for the broader nuclear fleet at Entergy, overall nuclear costs, are these really just specific can issues just for these two facilities? 
Leo Denault: First, Steve, we take the operation of the fleet, obviously the safe secure reliable, operations of fleet very seriously, we did have a couple of issues that kind of compounded on each other at both facilities to get us into Column 4, we’d anticipate that this is not going to happen anywhere else and that will work our way out of this judiciously and expeditiously with the NRC over the coming couple years. 
Steve Fleishman : So it’s not costs like for the overall organization or the other plants related to that? 
Leo Denault: No. 
Steve Fleishman : And then a last question just in terms of the Fitzpatrick decision, there has been a decent amount of articles just on the political aspects of that potentially. Is there any sense of any reaction we might see from this not only just at Fitzpatrick but also maybe Indian Point in terms of political regulatory stuff? 
Leo Denault: That I can’t really comment on that, Steve and we did work to try and come up with some way to extend the life of Fitzpatrick and we weren’t able to do that, it's in everybody's best interests but it just wasn't possible. But the state official worked just as hard as we did as I mentioned in my in my scripts to come to a solution and some thing is just difficult as you saw from the disclosures, there is a lot of money lost at that facility and that’s certainly a difficult thing to overcome. But we certainly aren’t out looking for any kind of political issues. 
Operator: Our next question comes from the line of Michael Lapides with Goldman Sachs.
Michael Lapides : Just curious on Fitzpatrick's decision, can you give us a view of how material from an EPS and from a cash flow accretion and dilution the retirement is for 2017 and beyond? 
Drew Marsh: So from a cash flow perspective we are going to be cash flow positive over the next few years consistent with the disclosure there of 225 to 273 million, so that’s the biggest piece, I think that comes from the fact that we’re basically operating at a loss there and we’re also -- we would be incurring costs associated with capital and refuelling going forward. So I think that – those are the biggest things from a cash perspective. From a net income perspective there's a lot going on, because of the impairments you’re going to see the costs associated with the refueling outages and fuel expense that we have, those are going to be reduced considerably. Obviously the depreciation is going to come way down. The one thing that’s a little different for Fitzpatrick is the decommissioning costs, the decommissioning expense that’s currently the fund is still sitting over with NIPA [ph] and so we won't see any changes there until a point where we actually get to fund and the liability over to us, so that’s a little different than Vermont Yankee and Pilgrim going forward. So those are some of the main drivers that you will see I think, as we are thinking about the income statement for that business. 
Michael Lapides : But I think my question kind of focused on the materialness -- if there is such a word -- of how earnings accretive would it be if I looked at 2015 run rate versus 2017 and beyond post-retirement and how cash flow accretive. Directionally are we talking huge level of accretion or dilution to either of those, tiny, middle of the road? 
Drew Marsh: I think 225, 275 million is, that’s materially accretive to me in terms of cash. The earnings piece – it’s going to be accretive but it’s not going to be hugely accretive upfront. There will be some accretion in ‘16 and then in ‘17 we will start incurring the decommissioning costs and stuff like that. We are going to provide some better transparency around what we think the drivers are at the EEI conference next week.
Operator: Our next question comes from the line of Neel Mitra with Tudor,Pickering, Holt and Company.
Neel Mitra : Good morning. Just wanted to clarify where you are with the industrial sales growth? Obviously it was better this quarter than last quarter but still not up to kind of the 5% that you are guiding to. When do you expect to really ramp up and what are the factors that you are evaluating right now? 
Theo Bunting: Neel, this is Theo. You mentioned the 5% we were guiding to, I think we stated the year at 4.4% in 2015 and what we have seen is our new and expansions have come on line, they have come on line as we settled slower, been delayed, the ramp ups have been slower than anticipated but what we have also seen in the first two quarters of 2015 was we saw some low volumes with our existing customers and as you recall in the first couple of quarters that was really bigger -- had a big impact on the lower than expectations in terms of the industrial sales. As Drew mentioned, in script we saw it come back relative to that in the third quarter especially in our petroleum refinery area, and from that perspective in that particular segment we expect to see that returning to the levels we somewhat expected as we go forward. You also mentioned in the fourth quarter we’ve got an existing customer, probably in the sector that is going through some outages and we won’t see likely not to see the volumetric changes in the fourth quarter that we saw in the third quarter but again those are outage rated and as Drew also mentioned you generally don’t see a relative relationship in terms of revenue change relative to volume change, when that happens with existing customers. In terms of the drivers I think we are seeing some things that others are experiencing stronger dollar kind of weaker commodity prices and it’s challenging our expectations as we said before, what we see happening from early is delays and in some cases as I said ramp-ups not happening as soon as we had thought but we will provide more color around that at the EEI in terms of really diving more into what we expect to see in ’16 and going forward. 
Neel Mitra : Just as a follow-up with the 2016 and 2017 Utility EPS, is that more contingent upon rate base growth or sales growth? Are the two related over the next two or three years? How are you looking at that? 
Theo Bunting: Again I will start and Drew might also have comments relative to this but the two are related the growth as we all know and – this business is really driven by rate base at the end of the day and from our perspective our investment thesis is still intact and we see the opportunity that we laid out in the past continue to make investments that we talked about and it’s not so much depended upon the level of sales. Sales is an opportunity for us to mitigate the impacts of those rate base growth changes and clearly with our sales volumes we have the opportunity to mitigate that probably much better than maybe some others that you see that don’t have the level of robustness as it related to sales growth. Given – again the volumes do help in terms of getting to ROEs and as we’ve shown in slides before it’s really a combination of the two, to some extent but again the growth is really tied to the investment thesis and that thesis from our perspective is still well intact.
Drew Marsh: This is Drew. I will just add. The big drivers are going to be getting the Union deal done and then the regulatory actions in Arkansas and Texas getting those resolved, primarily to get the investment that Theo is talking about and the rates. And then the sales growth is going to be helpful but it’s an element of lag reduction as we see it and there are some O&M benefits out there, we talked about earlier and that are rolling off hopefully by the end of next year. And then we continue to see our pension expenses coming down and we do see some higher operating costs this year because of some of the nuclear compliance costs and other things that we see, so we expect that to moderate a bit going forward as well. So those are main drivers, they’d shift a little bit as you go from ’15 to ’16 and then to ’16 to ‘17 but they are pretty much the same.
Operator: Our next question comes from the line of Charles Fishman with Morningstar.
Charles Fishman : Good morning. Make sure I understand this, the ANO Column 4 enhanced inspections and the associated spending, you see a path that that would be eliminated after next year? 
Drew Marsh: Yes, that goal is to get out of Column 4 and reduce the compliance costs associated with being in that regulatory situation. 
Charles Fishman : And then just a second question on the lower residential sales, just an anomaly for the third quarter, are you seeing more energy efficiency, do you have any other color you can provide on that?
Theo Bunting: Charles, this is Theo. As we’ve talked on previous calls like most other utilities we are seeing energy efficiency and products program as well as programs that we have specific to our space. We generally talk in terms of organic residential growth in the 1% area and we see that somewhat being challenged through this year and we saw it somewhat last year as well. In terms of third quarter we had two years where we had really – weather last year and fairly positive weather this year and when you see those swings like that year-over-year know sometimes the adjustment in terms of the weather for a period like that gets little challenged, and we continue to watch and monitor the residential sales volumes, also we saw 1 .2% growth in commercial in the quarter, as well but it’s something we pay a lot of attention to and continue to look at. I don’t know, from our perspective we don’t see a kind of flat to negative as a trend but it is something for us to continue to monitor as it relates to our view of our organic residential growth .
Operator: Our next question comes from the line of Sharp Pareza [ph] with Guggenheim Partners.
Unidentified Analyst: Most of my questions were answered. Just on FitzPatrick is there any situation where you can think of – or where you would have used dcom versus safe store?
Drew Marsh: The safe store option is the one that gives you the most time to allow the fund to grow to meet your decommissioning needs. So that seems like a likely candidate but I don't know if Bill wants to add anything in.
Bill Abler: So again we will have to go through and calculate our cost, we got 728 million in the fund, and we will go through the same process of looking to forecasting when the fund would grow to have an adequate amount to begin decommissioning according to NRC you to have it fully funded before you can start, so it will be some form of safe store, probably won't go to the end f 60 years but depending on that cost estimate it will be out in the future, so.
Unidentified Analyst: And then you don’t expect any indirect influence from New York to shut the plant down quicker.
Bill Abler: No, nothing that we are aware of at this time.
Unidentified Analyst: And then just what caused the talks to break down, was it sort of – was an r-mark contract and option as a bridge, so maybe a little bit of color on that?
Drew Marsh: We’re not going to get into any of that. We can explain the RMR issue, we’re not going to obviously discuss any details of our discussion but we had -- we previously had the New York ISO do some analysis regarding the FitzPatrick plant as to whether or it qualifies as liability – and that most recent analysis indicates that it does not. So we have submitted our notification -- shutdown notifications the PSC and the New York ISO as of today, they will have to update that study but we certainly do not expect that answer to change. And as Leo suggested all of our discussions with New York are really confidential and not appropriate for us to comment on any details. End of Q&A
Operator: I’d like to now turn the call over to Paula Waters for any additional remarks.